Operator: Good morning, and welcome to the Xtract One Technologies Fiscal 2025 Second Quarter Earnings Conference Call. [Operator Instructions] Please note, this event is being recorded. I would now like to turn the conference over to Chris Witty, Investor Relations Adviser. Please go ahead.
Chris Witty: Good morning, everyone, and welcome to Xtract One's fiscal second quarter conference call. Joining me today is the Company's CEO and Director, Peter Evans; and CFO, Karen Hersh. Today's earnings call will include a discussion about the state of the business, quarterly financial results and some of Xtract One's recent milestones, followed by a Q&A session. This call is being recorded and will be available on the Company's website for replay purposes. Please see the presentation online that accompanies today's discussion. Before we begin, I would like to note that all the dollars are Canadian unless otherwise specified, and provide a brief disclaimer statement as shown on Slide 2. Today's call contains supplemental financial measures. These measures do not have any standardized meanings prescribed under IFRS and therefore, may not be comparable to similar measures presented by other reporting issuers. These supplementary financial measures are defined within the Company's filed management's discussion and analysis. Today's call may also include forward-looking statements that are subject to risks and uncertainties, which may cause actual results, performance or developments to differ materially from those contained in the statements and are not guarantees of future performance of the company. No assurance can be given that any of the events anticipated by the forward-looking statements will prove to have been correct. Also, some risks and uncertainties may be out of the control of the company. Today's call should be reviewed along with the Company's interim condensed financial statements, management's discussion and analysis and earnings press release issued March 12, 2025, available on the Company's website and its SEDAR+ profile. And now it is my pleasure to introduce Peter Evans, Chief Executive Officer of Xtract One.
Peter Evans: Well, thank you, Chris, and good morning, and welcome to all of our investors and the analysts joining the call today. I could not be happier to be on this call today presenting the results of the company and to join you all on this Thursday. Let's start by turning to the first slide, Slide 4. To begin with, we had a record quarter across multiple number of business metrics, with growth in each of our key market segments and securing new business from a broad set of customers. The booking success we experienced in Q2 has set Xtract up One for our best year ever and with results from Q2 setting a tone for continued accelerated growth that we expect throughout the year. There are several key metrics and deliverables I'd like to highlight about our fiscal financial second quarter. First, we had more wins this quarter, and our bookings and booking backlog indicate that in the numbers that we've presented. We reported bookings of $13.5 million in Q2, our strongest performance ever and far exceeding our prior record of $9.6 million and representing 250% growth year-over-year from the same quarter last year. Together with our Q1 results, our first half results have put us back on track and a foundation for a very strong fiscal year. Similarly, we grew our total booking backlog, and we grew the business. Our total bookings backlog is now at $37 million versus $22 million at the same time last year. Karen will get into the details of these booking backlogs and the breakdown of that in a moment. We also continue to build a highly scalable operational model, and we've leveraged that significantly as we've progressed through fiscal 2025. Our Q2 gross margins reached 70% versus 61% last year, while we managed to take our overall operating costs down very slightly throughout the quarter. Again, this is due to that highly scalable model that we've been leveraging for aggressive growth. We reported revenue of $3.4 million for Q2 versus $2.9 million in fiscal 2024. The second quarter revenue results were negatively impacted primarily by the timing of the deployments and the make-up of subscription business versus upfront deals. Again, Karen will get into the details, but we had a larger number of subscription deals than we've of course historically seen in the past. This is good news for the future as our existing backlog of agreements positions the company for continued success and better results in future quarters to come. As a reminder, we previously indicated that we expect this year to be back-end loaded, and that is still the case, and we still see that kind of growth coming. We see that through the customers we're engaged with, through the quality of the pipeline we're seeing, and we're expecting growth acceleration and anticipating that for the second half of fiscal 2025. We've also experienced further momentum in all of our business segments with new customers in healthcare, in schools, in manufacturing and distribution and in the arenas. And we are experiencing a rapid expansion of our international demand right now, where legislation similar to Martyn's law in the U.K. is now being adopted in other countries throughout Europe and Asia. With our unique technical capabilities to address the broadest set of weapons and delivering a fantastic guest experience, we are well positioned to serve those countries and expand our business globally and create more diversification in our business model. Key for myself and the executive team is that we continue to set new milestones for ourselves, and we set new targets and exceed those milestones and targets that we put ourselves up against. We're doing what we've set out to do at the beginning of each fiscal year and we are beating our business plan in all cases. We're responding to incredible demand for our products and building a base of business that will continue to accelerate our top line growth going forward, our profitability and at the same time, improving our cash burn and underlying results. For me and for the team and for our customers, particularly who we serve, I believe the future continues to look very, very bright. I'd like to turn to Slide 5 now and provide some further color on the market dynamics that we're seeing and our expectations for the coming quarters. Our recent wins include being selected to install the SmartGateway at locations like Boeing State University and the One Gateway at hospitals throughout Manitoba. Interestingly, healthcare has become a fast-growing market for us and has represented almost 30% of all our bookings in Q2. We are also seeing legislative changes in the United States that are mandating weapon screening, such as the announcements made in California requiring hospitals to implement weapon screening policies at the main entrances, emergency entrances, et cetera, as a minimum. This has to go in place by 2027. And as such, we're seeing an uptick in interest. Violent incidents are actually 5x more frequent in healthcare facilities versus any other vertical marketplace. And so we are rapidly developing a presence in this market and finding that both SmartGateway and One Gateway have excellent use cases for both products in that healthcare environment. At the same time, we saw solid bookings across numerous other markets this past quarter, demonstrating the flexibility and performance of our products, which gives us continued confidence of the company's future growth potential and the large addressable markets we serve. And as we deliver more and more unique features suited for each of those vertical marketplaces, we're finding ourselves becoming the default answer to solve unique vertical market needs. We've also been having great success with our channel partner program, which we started with an intended focus about 18 months or so ago. And we've been steadily onboarding the types of partners that we want, strong regional and national partners that are trusted within their geographies and with the vertical markets that they serve. With the investment of time and the focus on working with selected partners, we're now seeing the impact of those efforts. In the most recent quarter, channel partners accounted for about 50% of the total systems deployed and also just under half of the revenue recognized. Channel partner sales also now account for about one-fourth of all deployed systems in our installed base. These results demonstrate our ability to rapidly leverage those channel partners to grow based on their marketing and selling efforts. Said another way, we're finding a great upside to our business through partner-led opportunities versus partner fed opportunities. These relationships like this are helping to solidify and bolster our growth trajectory, and they can meaningfully add new customers on top of our own -- what our own great sales organization can deliver. I think we've built a solid foundation for growth from both our own staff, as well as these key partners. I also could not be happier with what we've seen with the Xtract One Gateway. Whether by intelligent design or by good fortune, the timing for One Gateway has been ideal as momentum builds for delivery of this unique and innovative solution. The product is benefiting from very strong interest within the education marketplace. But given its effectiveness in not only stopping threats in the presence of laptops and other devices, we're also seeing growing demand from a host of other industries, whether it's healthcare providers, offices, convention centers and others. And interestingly, we're seeing new use cases for One Gateway in manufacturing and distribution, an entirely new market application that interestingly also that we alone can serve. My estimate is that this is a new $8 billion market segment, and our new technology now fully certified will be shipping very soon and we believe product acceptance and reference ability will further accelerate new contracts in the second half of fiscal 2025. Everything we're doing now is paving the way not only for record results this year, but much stronger performance in 2026 and beyond. Our Smart Gateway sets the new standard for -- sorry, our One Gateway sets the new standard for what we believe will be the number one threat detection system going forward. I've then mentioned briefly our qualified pipeline. Let's dig into that a little bit level. Our qualified pipeline of opportunities is at record levels, currently sitting about $100 million, of which conservatively $40 million are in the late stages of development with the customers. This is what gives us confidence in the quarters to come, as well as the years to come. Our ability to grow that pipeline, ability to convert that to bookings and backfill the pipeline and the ability to convert that to revenues and backfill the bookings. Our technology, our people, our partners and the inbound demand for our solutions in a growing marketplace is giving me a lot of confidence in where we are as a company. I did a quick calculation the other day on just our top six customers, and they alone are scanning over 75 million people every year. Now if we look at the entire environment of all of our customers, the number is well, well in excess of that amount. But with top six customers alone, 75 million people. That gives us a lot of insights and a lot of opportunity to be a customer-backed organization and reflect the kinds of products back to the marketplace that they want. As our reputation grows, so too does the size and complexity of the opportunities being presented to us and particularly satisfying to me is the inbound calls that we're getting from Fortune 50 type companies. This means multiple locations, larger venues, more lanes and a greater number of people passing through our systems. There's nothing more rewarding to me personally than seeing satisfied clients, and I see more and more and more of those every single day where they've now become champions for what we do versus customers. Overall, I'm very optimistic about our future, which is no surprise given the growth in our backlog and the strong accolades we've seen from these existing customers and champions. As stated last quarter, we expect higher top line results in the second half of the year, and we're also building a foundation for revenue acceleration for the future quarters and future years, given the nature of the contracts, many of which have a subscription or recurring revenue component to them. The business is running on all cylinders right now, extremely proud of where we are and the staff that has gotten there. And after a small bump in the road, we're now back to the passion and delivering with acceleration that we had ourselves accountable for. Our products and the outlook for One Xtract One Gateway is also looking extremely good. Without the hard work and execution of our team and of our partners, we'd not be sitting where we are today. We're making very rapid progress towards profitability and cash flow breakeven, and I'm very excited about that also. As always, I appreciate the ongoing interest and support of our investors. We have dedicated to the success of our company. We're dedicated to the success of our investors also. Now, I'm going to turn it over to Karen to provide a bit more details around the financial results. Karen, over to you.
Karen Hersh: Thanks, Peter. As previously noted, Q2 results represented a record quarter for bookings based on a diverse set of new customer wins. This was tempered by certain deployment timing issues. However, we're on track for a record year of performance in fiscal 2025. Let's start by turning to Slide 7. Total revenue was approximately $3.4 million for the second quarter versus $2.9 million in the prior year period, with about 67% of sales coming from upfront purchase contracts versus approximately 55% in the second quarter of fiscal 2024. Revenue was once again spread across a wide swath of customers and industries, including education, sports, live entertainment, healthcare and other market verticals with education and healthcare once again representing a significant portion of our Q2 revenue. We anticipate that the revenue mix will continue to fluctuate going forward, particularly as our One Gateway draws more education and other types of end users into our customer base. I'll speak about this again a little later in the presentation. As previously discussed, our Q2 revenue, much like Q1 was negatively impacted by order timing as certain customers elected to install their SmartGateways in a phased manner. That said, we have a solid backlog of new installations that are expected to occur in the coming months and quarters. In addition, our pipeline of opportunities and customer discussions are more active than ever, and we continue to see opportunities move towards larger, more complex system installation and multiple site locations. In addition, the introduction of our One Gateway has continued to gather momentum, and we anticipate the second half of fiscal 2025 will show top line growth in this regard. It's a very busy time for us with persistent market demand and the need for systems that can accurately distinguish between a laptop or phone from a dangerous weapon. Not surprisingly, we've not seen any churn in customer renewals coming due. Every existing client wants to stay with Xtract One. Our gross profit margin was a healthy 70% for Q2 versus 61% in the prior year period, reflecting improved product mix and successful pricing strategies. We continue to anticipate solid margins for the remainder of fiscal 2025, although margins may decline slightly from the second quarter as we ramp up our manufacturing and customer success processes for our new One Gateway product. Now turning to Slide 8. We continue to grow the value of our contractual backlog and signed agreements pending installation. At the end of the quarter, this collectively totaled a record $37.2 million as compared to $26.9 million at the end of Q1, reflecting roughly $13.5 million in new bookings, of which approximately two-thirds were subscription contracts. We continue to see variations in our mix of purchase versus subscription contracts from quarter-to-quarter, often depending on the industry mix of our customer base and each customer's priorities and business operations. The Company's contractual backlog at quarter end was $16.7 million, with an additional $20.5 million worth of signed agreements pending installation, the majority of which are expected to be installed within the next 12 months. Based on the continued growth of our sales pipeline, the success that we're seeing with our channel partner program and the immense level of interest with One Gateway, we anticipate bookings and backlog to grow further in the second half of fiscal 2025, and our outlook for future quarters remains positive. Moving on to Slide 9. I wanted to provide investors with a little more insight into our diverse customer base. You may recall that our primary focus early into commercialization for SmartGateway was in the sports and entertainment markets in North America. We've had great success serving these markets with advocates at many professional sports leagues, including the NHL, NBA and MLB. Over time, we have diversified this customer base significantly. When we look at the make-up of our combined $37.2 million order backlog, for example, we can see that our customers are well diversified across several markets and geographies. I'm very pleased to see that we're continuing to transition to a larger mix of customers as this helps ensure that we're not only -- that we're not overly dependent on a single market. At the same time, we're finding that certain industries have somewhat different buying cycles, which over time, we anticipate will result in smoothing out our bookings and subsequent conversion to revenue as we take benefit from each market's purchasing behavior throughout the year. Now let's turn to Slide 10, which shows second quarter operating cost year-over-year and sequentially versus Q1. Sales and marketing expenses were $1.2 million for the quarter versus approximately $1.3 million a year ago, while costs associated with R&D were $1.6 million this year versus $2.1 million in fiscal 2024. General and administrative expenses were also down at $1.6 million for the quarter as compared to $1.7 million last year. Overall, we reduced operating cost both sequentially versus Q1 and the second quarter of fiscal 2024, even as we added to backlog and made substantial progress towards rolling out our new One Gateway product. We feel confident in our operating results as we've built a scalable model on our path to profitability and cash flow breakeven. Finally, on Slide 11, I'll discuss cash flow. During the quarter, the company had operating cash usage of $0.2 million compared with $1 million in the prior year period. And excluding changes in working capital, we spent approximately $1.2 million, much lower than last year's $2.5 million. This change in use of cash reflects higher margins and lower operating expenses, along with sound financial management of the company's working capital as we continue our trend towards cash flow neutrality. In closing, I'd just like to reiterate what Peter said earlier, that we've built the foundation for success this year and moving forward with a record backlog, strong margins, new innovative products and a path to profitability. We're very upbeat about fiscal 2025 and beyond. And with that, Peter and I welcome any questions that investors may have. Thank you.
Operator: Thank you. [Operator Instructions] Our first question today is from Scott Buck with H.C. Wainwright. Please go ahead.
Scott Buck: Hi. Good morning, guys. Thanks for taking my questions. I'm curious, the $20 million or so of pending -- that are pending installations, that installation schedule is set by your customer, right? That's not a capacity issue on your side, is it?
Peter Evans: No, that is not capacity at all, Scott. This is purely how customers are perhaps choosing to deploy. Simple example, we may have a customer who might have 10 locations and they're choosing to deploy one and then the next and then the next and then the next. So they've contracted for all locations, but they can only consume the technology, deploy it, train people at a certain period of time or a certain manner.
Scott Buck: Perfect. Peter, would you have capacity constraints for deployments in the second half of '25 or '26 based on what you're seeing in the pipeline?
Peter Evans: No. Similar to what we've seen for the business operations. You may recall, Scott, about a year or two ago, we built out a plan to double our capacity and double our capacity again. We have more than enough capacity to address the continued aggressive growth that we're seeing in the business through the second half and into 2026.
Scott Buck: Great. And then, Karen, it looks like sales and marketing was pulled back a bit in the quarter. Is that seasonal? Or are you getting more efficient in the way your marketing spend is used? What are some of the dynamics there? And what's the expectation for the remainder of the year?
Karen Hersh: Sorry, yes. Scott, that's a good question. I think it's definitely a question of timing. We've moved from supporting one market to addressing multiple markets, and there's a certain seasonality to how we're addressing that market. So Q2 is perhaps a relatively quiet one, and we may have other quarters that -- where we're spending a little more on the marketing as we figure out which shows work best for us, which trade shows. So it is a question of a little bit of timing, I would say. Peter, I don't know if you wanted to add to that?
Peter Evans: Yes. I mean exactly. There's a bit of seasonality. You see certain trade shows, certain activities that have certain timing on them. And so we obviously are focusing on where we see high value return for those events that we participate from a marketing point of view. And there's other periods of time in the year where you tap the brakes a little bit because the audience isn't listening. So it's really a seasonality thing and how we're selectively pursuing certain markets at the time those markets are open. Budgeting cycles and things like that come into play quite a bit, too.
Scott Buck: Okay. Perfect. That's helpful. And then last one, Peter, if you could just kind of touch on tariffs. What are your thoughts there? Is there anything defensive you could do? Any kind of additional color there could be helpful.
Peter Evans: Sure. There's lots of thoughts on tariffs, but as it pertains to Xtract One, the tariffs -- thank you for the humor, Scott. Look, the tariff story seems to be changing almost on an hourly basis. Every single day, things are changing. It's very fluid. It's very dynamic, and it could or it could not have implications for our business, whether that's pricing or supply chain dynamics. If tariffs are enacted and apply to all goods entering the United States and Canada, there may be some impacts. Right now, it's too early to determine to be quite honest, and the exact impact from those proposed tariffs. We're watching it very, very closely. We're working with our supply chain folks to understand the impact. But again, the situation remains very, very fluid right now with ongoing discussions between all levels of government that could change the scope, the timing and the impact of those tariffs. So we can't predict those actions, but we're preparing alternative options depending on what those actions could be. Having said that, we believe the customer demand in the United States and, quite frankly, globally is not going to decrease in light of the tariffs, and we're confident that we'll be able to successfully navigate through those challenges with our customers. The demand out of Asia and Europe is very, very strong. The demand out of Canada is very, very strong. And the demand out of the United States seems to be very, very strong and right now is not price sensitive. So having said that, selling on value, having diversification is putting us in a good position, right? The other thought here, Scott, is, we do have competitors, and they source components from around the world, including places like China. So we are not unique in the fact that we are Canadian because there could be impacts on those competitors as well as us. So right now, we're going to closely monitor the developments. We're going to evaluate all the potential scenarios. But given the uncertainty, we're not going to draw any definitive conclusion at this point.
Scott Buck: Great. I appreciate the added color, guys. Thank you very much for the time.
Operator: The next question is from [John Hyde] with Strategic Investing Channel. Please go ahead.
Unidentified Analyst: Hi, Peter, Karen, thanks for taking my questions. Maybe I got two here. One, really impressive on the gross margins increasing that to 70%, especially with -- it looks like I think 45% of that revenue in this quarter coming from channel partners. I would have thought that this would be a lower margin. But can you guys talk about that dynamic there and how that's all working and contributing to gross margin?
Peter Evans: Yes. I think a couple of things there. First off, we continue to internally manage the cost of our products, constantly look at things to do to lower the bill of material costs and things like that and our efficiency around the cost of sales. In terms of the partners, what we're seeing here, John, is, there's so much business demand and there's so much demand for what we do because we are a high-value solution that addresses a lot of problems for customers. We're not really seeing concerns about price and price competition. And if we see somebody solely based on price or making a decision based on price, that's not our business. We deliver a security solution, not just a cheap solution. And so with that in mind and selling on value, that's allowed us to in fact, the customers don't ask for or don't bring to the table concerned about price. So that's allowed us both internally as well through partners to make sure that both ourselves and our partners are quite profitable in the process.
Unidentified Analyst: Awesome. That's really good to hear, especially, like you were mentioning earlier with the tariffs, the pricing power there. One more question maybe related to tariffs. I noticed that on your inventory side, your components and kind of work in progress goods, I think have almost doubled just quarter-over-quarter. Just wondering if this is ramping up for new installations or if this is maybe ramping up some or kind of stocking up on some inventory of components in preparation for potential tariffs? Just any color around that would be great.
Peter Evans: Sure. I don't think, John, that there is really any sort of change in our business operations. I think it's just more a question of a point in time as we're starting to build certain units for One Gateway, as well as just a number of units that we have on hand for SmartGateway that we just to -- in order to fulfill the backlog that we have coming up. So I don't think that there's any sort of fundamental change in terms of how much inventory we need to carry. We will have two products going forward. So there will be some increase as we ramp up. But generally, we build in -- we have fairly high turnover of inventory throughout the year. So I don't see us having to significantly increase our inventory going forward. Not sure if that helped answer your question?
Unidentified Analyst: No, that's great. Yes, thanks for taking my questions and congrats on really impressive bookings in quarter. Thanks guys.
Peter Evans: Thanks John.
Operator: [Operator Instructions] Showing no further questions, this concludes our question-and-answer session. I would like to turn the conference back over to Peter Evans for any closing remarks.
Peter Evans: Well, thank you. And as always, I want to first off start by thanking our shareholders and those who continue to believe in what we do and help us accelerate and be successful at what we do. It has been a fantastic year so far. We had a small bump in the road. And what we've got ourselves past that bump due to those external factors that we had to navigate and manage our way through. Thanks, everyone, for continuing to support us. We thank our customers. We thank our amazing team of people at Xtract One who do absolutely awe inspiring and innovative work every single day. And most importantly, I want to thank all the champions of our product, formerly customers now champions, who are helping us grow our business through their advocacy and their reference ability in what we do. Take care, everyone. Have a good day.
Operator: The conference has now concluded. Thank you for attending today's presentation. You may now disconnect.